Operator: Good morning. My name is John and I will be your conference operator for today’s call. At this time, I would like to welcome everyone to the DuPont Fourth Quarter 2013 Earnings Call. All lines have been placed on mute to prevent background noise. After the speakers’ remarks, there will be a question-and-answer period. (Operator Instructions) In the interest of time, management requests that you limit yourself to one question and to one follow-up question and please pick up your handset to allow optimal sound quality. If you have additional questions, you may re-enter the queue. Thank you. It is now my pleasure to turn the floor over to your host, Carl Lukach, Vice President of Investor Relations. Carl, you may begin.
Carl Lukach: Thank you, John. Good morning everyone and welcome. Thank you for joining us to cover DuPont’s fourth quarter 2013 performance. Joining me are Ellen Kullman, Chair and CEO and Nick Fanandakis, Executive Vice President and CFO. The slides for today’s presentation can be found on our website along with our news release. Please note that we have also posted our fourth quarter segment performance slides and outlook commentary this morning. During the course of this conference call, we will make forward-looking statements and I direct you to Slide 2 for our disclaimers. All statements that address expectations or projections about the future are forward-looking statements. Although they reflect our current expectations, these statements are not guarantees of future performance, but involve a number of risks and assumptions. We urge you to review DuPont’s SEC filings for a discussion of some of the factors that could cause actual results to differ materially. We also will refer to non-GAAP measures and request that you review our reconciliations to GAAP statements provided with our earnings news release and on our website. For today’s agenda, Ellen will start with opening comments. Nick will review our fourth quarter financial performance and 2014 outlook. And I will provide business segment insights. We will conclude with Ellen’s comments and then follow with your questions. With that introduction, it’s now my pleasure to turn the call over to Ellen.
Ellen Kullman: Great, thank you Carl and good morning and thank all of you for joining us. I am pleased to review DuPont’s fourth quarter and full year 2013 performance. We closed 2013 with strong fourth quarter results. Our revenue grew 6%. Segment operating earnings grew 52%. Our margin improved almost 400 basis points. And operating earnings per share of $0.59 was nearly triple last year. Results came in largely as expected and communicated to you three months ago. Most of our businesses grew revenue and earnings. The exception as anticipated was our Performance Chemical segment, although the trends there are clearly positive. We posted a fourth quarter operating earnings profit in our Ag segment, which as you know, historically records a seasonal loss at this time of the year. Our Nutrition & Health segment grew earnings 40%. Safety & Protection grew 57%. Electronics & Communication more than doubled its operating earnings. Segment earnings growth and margin improvement were driven by new product sales, higher volumes, improved plant utilization rates, good cost control and productivity gains. Demand for products was higher in key industries and across all regions. Demand from automotive and industrial markets was better than earlier in the year. Demand from food ingredients markets were stable and we saw clear signs of a recovery in the photovoltaic principally in China. In Ag demand for our insecticides was very strong in Latin America driven by heavy insect pressure and the excellent performance of Rynaxypyr. Nick will take you through our fourth quarter financials next. So let me focus now on our full year performance. Our 2013 revenue growth of 3% and operating earnings growth of 3% overcame significant price declines and market disruptions in the global TiO2 market. This resulted in performance chemical segment operating earnings declining 45% or $0.66 per share overshadowing the strong performance of our other businesses. Aside from Performance Chemicals our combined businesses in a sluggish global economy grew revenues 5% while delivering 11% earnings growth much more in-line with our long term target growth rates of 7% and 12% and our operating margins increased about a 100 basis point to 16.8%. Importantly these businesses delivered solid results by continuing to execute well against our strategic and operational priorities. Specifically regarding innovation our integrated customer centric innovation teams connected with our exceptional science resources to deliver a steady stream of new products. For the year we introduced 1753 new products and our market winning products like Optimum AcreMax technologies, Optimum AQUAmax hybrids, Rynaxypyr insecticides and Solamet paste contributed to market share gains. Regarding global reach, our volume growth in developing markets was 11% in the fourth quarter and for the year as we successfully leveraged our market positions. For productivity we exceeded our goals including residual cost elimination for the year and as you know from our announcements we move decisively forward in 2013 to reshape our portfolio for higher growth. In February, we completed the $5 billion divesture of Performance Coatings. In July, we acquired the controlling interest in Pannar Seed in South Africa. In October we announced the decision to separate our $7 billion Performance Chemicals segment and in November we announced that we had signed definitive agreements to sell glass laminating solutions and vinyls a part of the packaging and industrial polymers business in Performance Materials. These events followed our 2011 Danisco acquisition and they are all integral sets of our plan to refine our portfolio and deliver higher and less cyclical growth. In 2013 we raised our dividend 5% for the second consecutive year and we executed a $1 billion share buyback. Today, we announce that our Board has authorized a new $5 billion share repurchase program and that we expect to complete $2 billion this year. Nick will provide more details about the program. With that I will turn it over to Nick and Carl and then I will come back to address 2014. Nick?
Nick Fanandakis: Thank you Ellen and good morning everyone. Let’s start with the details of the quarter on slide 3. As Ellen indicated we had a strong fourth quarter with operating earnings per share up a 195% almost triple a weak fourth quarter last year. In agricultural strong insecticide sales growth in Latin America coupled with earlier seed shipments for the safrinha corn season in Brazil and earlier seed shipments in North America contributed to our positive earnings for the segment. In electronics and communications operating earnings more than doubled last year on higher operating margins fueled by stronger demand for Solamet paste and Tedlar Films improbable [ph] tax. Likewise, higher margins in Safety & Protection were driven by improved demand for Kevlar and Nomex fibers. In fact, this was the fourth consecutive quarter of operating margin improvement in Safety & Protection. Operating earnings in this segment were up 57% and we saw continued productivity gains. Finally, in Nutrition & Health, operating earnings increased 40% due to improved pricing and stronger demand for cultures, probiotics and specialty proteins. Consolidated net sales of $7.7 billion were up 6% versus the prior year. Volume increased 9% led by Electronics & Communication, which grew volumes 17%. In Agriculture, volumes grew 14% reflecting the earlier timing of seed shipments that we anticipated. Weaker local pricing of 2% in the quarter was primarily driven by Performance Chemicals and significantly lower pass-through metals pricing in Electronics & Communications. From a currency perspective, the dollar continued to strengthen against most other currencies, particularly the Brazilian real and the Japanese yen. This impact however was partially offset by weaker dollar versus the euro. The net result was a $0.04 hurt for the quarter. For the full year, currency was a $0.15 per share headwind versus last year. In 2013, we delivered solid revenue growth, double-digit operating earnings growth in three of our segments and operating margin improvement in five segments. However, these gains were largely offset by the steep 45% or $0.66 per share decline we experienced in our Performance Chemical segment earnings as a result of the significantly lower global TiO2 prices throughout 2013. For the full year, our 20.8% base tax rate was about 1 point lower than the base tax rate we anticipated three months ago and more than 3 points lower than the prior year. This lower rate in 2013 primarily results from the favorable geographic mix of earnings. Additionally, our base tax rate for 2013 was favorably impacted by the inclusion of the U.S. R&D credit and other U.S. business tax provisions that were reenacted in the first quarter of 2013. The significantly lower fourth quarter rate reflects a year-to-date catch-up adjustment to our full year base tax rate of 20.8%. Turning now to Slide 4, I would like to highlight some of our geographic results. Sales in developing markets increased 9% during the quarter on 11% higher volume. Sales in developing EMEA increased 16% in the quarter versus fourth quarter 2012 where our acquisition of Pannar Seeds in South Africa contributed favorably to the growth as we broadened our geographic footprint. In Latin America, sales grew 8% on 12% higher volume, where demand for our insecticides was very strong. In developing Asia, sales grew 6% in the quarter on 13% higher volumes. Now, let’s turn to the fourth quarter segment operating earnings analysis shown on Slide 5. You can see clearly here the strong performance we had across all of our segments. You can also see that in the fourth quarter we had only a slight decline in Performance Chemicals versus the prior year. In a few minutes, Carl will provide you more details for each of these segments. Turning now to Slide 6, you can see the major contributions of the year-over-year change. Strong segment results contributed $0.26 higher operating earnings in the quarter and this includes the decline from Performance Chemicals and the $0.04 currency hurt. The lower base tax rate provided an $0.11 benefit in the quarter versus 2012, a few cents better than we had anticipated in October. The favorable variance in corporate expenses provided a benefit of $0.03 in the quarter reflecting ongoing cost control in our support functions. Let me also point out here that we met the $300 million in savings that we targeted for 2013 for the program including the successful elimination of corporate residual cost that were left following the Performance Coatings divestiture. As previously communicated we highlighted the overhang in corporate cost so that our progress to eliminate them could be easily tracked by our investors. In addition we met our fixed cost and working capital productivity targets. In total both the 2012 restructuring and the fixed cost and working capital initiatives contributed significantly to offsetting inflation and helping to fund our growth investments. Moreover we expect to continue to deliver ongoing productivity in 2014. Turning now to the balance sheet in cash on slide 7. We ended the year with 1.3 billion of free cash flow on a total company basis versus 3.1 billion last year. This decline primarily reflects changes in working capital in our Ag segment and the lower Performance Chemicals earnings along with the absence of Performance Coatings earnings in 2013 following our divestiture. Capital expenditures were up modestly from $1.8 billion to $1.9 billion. We ended 2013 with a net debt of 3.4 billion which was 4 billion less than our position in December 2012. Year-end cash balances increased to about $9 billion as anticipated. Let me also point out here that our unfunded pension and OPEB liabilities decreased nearly $5 billion from 13 billion last year to 8 billion now. We had previously communicated to you that we expected the unfunded liabilities to decrease $2 billion to $3 billion. However the impact of the higher discount rate and higher than projected trust asset returns including the strong equity market performance in the fourth quarter brought our unfunded pension and OPEB liability down even more than we had anticipated. As a result we have significantly improved the strength of our balance sheet. Turn now to slide 8, I would like to review our assumptions regarding our key markets and the broader economy in 2014. These highlights from the foundation for our 2014 guidance. Broadly speaking we expect global growth of about 3% against the backdrop of a world economy that continues to face many uncertainties. We expect global industrial production to increase about 4% in 2014. We see signs of recovery in Europe and Japan with growth firming in China. In agriculture the fundamentals are healthy and we anticipate lower planned [ph] acres that will favor soybeans versus corn. As commodity prices transition off their 2012 peak. Auto and housing are also expected to improve. With this background now let’s turn to slide 9, we expect 4% revenue growth in 2014 to about $37 billion this includes nearly a 2% decline from portfolio changes. Our outlook for operating earnings per share is $4.20 to $4.45 up 8% to 15% from 2013. This takes into account the fourth quarter early seed shipments highlighted in our news release and anticipates a slight reduction in diluted shares outstanding by year-end. For the full year we expect our base tax rate to be about 22% and capital expenditures to be about equal to last year at $1.9 billion. Pharmaceutical royalties will be minimal this year so beginning in 2014 they will be reported as part of other. In our reporting similar to 2013 non-operating pension expense will be excluded from operating earnings. We anticipate these expenses will be about $0.09 per share for the company compared to $0.39 last year. As mentioned previously the significant reduction in 2014 is due to the higher discount rate and higher pension asset returns achieved in 2013. It is exactly this level of volatility that prompted our decision to exclude non-operating pension and OPEB from our operating results. Also in 2014, in order to provide you a clear understanding of the underlying performance of our segments, we will exclude from operating earnings the transaction-related costs of the separation of Performance Chemicals and report to them on Schedule B of our earnings report. Be assured that separation work is well underway and we intend to provide you with a full year estimate of these costs later in the year. Turning now to Slide 10. I will cover a few details about share repurchase announcement this morning. Today, we announced that our Board of Directors authorized a $5 billion share repurchase program of the company’s common stock. While the program is not time-limited, we intend to complete $2 billion this year. Assuming today’s price and expected dilution from benefit plans, we have assumed that the current year repurchase will reduce diluted shares outstanding at year end by about 1% to 1.5% taking into account the averaging of the shares each quarter and for the year. We expect to begin repurchasing shares in the first quarter with the impact on fully diluted average shares occurring across the remaining quarters. We planned to fund the repurchase from our current cash balance and we’ll update you as we execute against this program. Our new $5 billion program, as I said, is not time-limited or restricted to dilution and replaces our previous $2 billion program from 2011, which still had $1.7 billion outstanding. Most important, we believe this repurchase while meaningful in amount is a measured approach that takes into consideration our improved balance sheet position and adheres to our financial disciplines while at the same time providing us with the flexibility for making investments that support growth in our businesses. We believe this share buyback program was part of a continued commitment to provide attractive cash returns to our shareholders. And today’s announcement reflects the confidence that we have in our plan to build a higher growth, higher value company. Our market environment continues to be a dynamic one and looking back at 2013 we overcame significant TiO2 and currency headwinds. And looking forward in 2014, we see continued gradual sequential improvements in the economy and in our businesses. We were encouraged as we enter 2014 and we are focused on executing our plans what remain poised to capitalize on changing market conditions and growth opportunities. With that, I will turn the call over the Carl to review the segments. Carl?
Carl Lukach: Thanks Nick. I would like to now provide some brief segment insights. As a reminder, the slides and complete segment commentary are posted on the Investors in our website under Events and Presentations along with other materials for today’s call. In Agriculture on Slide 11, we completed another successful year of industry leading performance with 13% annual growth in sales and 16% annual growth in operating earnings. We delivered a 60 basis point increase in operating margins despite the impact of higher seed input costs earlier in the year. Highlights included more than a 1 point of corn share gain in North America, a 3 point share gain in the 2013 Brazil safrinha corn season, the successful launch of approach picoxystrobin fungicide in the U.S. and Rynaxypyr insecticide exceeding $1 billion in annual sales. Cyclically, our Agriculture segment has a seasonal loss in the fourth quarter, but this year operating earnings were positive for the first time at $88 million. Earnings improvement was driven by strong insecticide sales in Latin America led by Rynaxypyr, earlier seed shipments in the Brazil safrinha corn season and earlier direct seed shipments to North American farmers. As a result of the earlier timing of seed shipments about $100 million of operating earnings were realized in the fourth quarter versus the first quarter of 2014. As we move into 2014, the global Ag economy remains healthy. Farmer cash income and commodity prices are transitioning off of peak levels as global stocks are rebuilding from historically low levels. We feel good about our seed and crop protection order books in North America which are in-line with our expectations for this season. For the first half of 2014 we anticipate modest increases in both sales and operating earnings with growth rates negatively impacted by the previously mentioned timing change. We expect operating regions to partially recover following last year’s one point first half decline as we benefit from lower seed input cost while continuing to make targeted investments globally for growth. For the full year we expect modest global growth in sales with earnings up moderately. In electronics and communications on slide 12, operating earnings increased 50 million to 93 million driven by higher sales volume and improved plant utilization. Higher volume mainly from demand improvement and share gains in photovoltaic markets was offset in part by lower selling prices, largely from the pass through of substantially lower metals prices. For the full year we expect sales to increase slightly as volume gains are tampered by declining metal prices with moderate growth and earnings. In Industrial Biosciences on slide 13 sales of 326 million were 9% higher on strong demand for Sorona polymer for carpeting and apparel and enzymes for ethanol production. Looking ahead we expect full year operating earnings to be up substantially from healthy enzyme demand in our core markets. Animal nutrition, detergents and ethanol. On slide 14, Nutrition and Health operating earnings of 81 million increased 23 million driven by pricing gains and increased demand in specialty proteins, probiotics and cultures. Operating margin improved more than two points as pricing gains, mix enrichment and productivity actions more than offset growth investments. For the full year we expect modestly higher sales and significant operating earnings growth. We expect full year operating margin to grow as we progress toward our long term margin goals. Turning now to slide 15, as anticipated we did record a modest fourth quarter earnings decline in Performance Chemicals versus last year but we see science that the market is stabilizing. Fourth quarter TiO2 volumes increased 18% marking four consecutive quarters of year-over-year volume growth. Volumes were fueled by stronger demand in Europe and China. We view customer inventory levels as normal and producer inventory levels remain essentially unchanged from the third quarter. Full year volumes for our TiO2 business grew up 14% versus the prior year. We expect earnings will be down significantly in the first quarter versus last year due to the lower year-over-year prices in TiO2 and floor [ph] products. However we expect full year 2014 earnings will be up modestly due to higher segment volumes. In Performance Materials on slide 16 we delivered another solid quarter by maintaining our focus on application development while leveraging our global reach. Fourth quarter operating earnings of $295 million increased 22 million or 8%, sales of 1.6 billion were up 3% with higher volumes partially offset by lower prices. Our polymer sales into the China automotive market for example were up 23% versus the prior year marking two consecutive quarters where growth exceeded 20%. 2013 was a strong year and we increased full year operating margins by a 100 basis points to 20%. In 2014 operating earnings are forecasted to be essentially flat as modest volume growth is offset by a lower capacity due to a scheduled eth ethylene outage and the impacts of portfolio changes principally the Glass Laminating Solutions/Vinyl sale anticipated later in the year. In Safety and Protection on slide 17 improved demand for Kevlar and Nomex fibers coupled with a benefits of our prior year restructuring and productivity gains, lifted quarterly earnings by 57%. Operating margins for this segment also improved for the fourth consecutive quarter. While segment sales were up 1%, a strong sales mix delivered the positive earnings growth despite continued weakness in the governmental spending session in all regions. It’s for 2014 operating earnings will be up moderately reflecting improved demand with a richer sales mix alongside continuing productivity gains. That concludes our comments for these above segments. Now, I will turn it back to Ellen.
Ellen Kullman: Great, thank you Carl. As we move forward in 2014, we have positive momentum across our portfolio. While uncertainties exist, market demand is improving and we are executing successfully against our value creation plan. We expect a gradual, sequential improvement in the global economy that we saw at the end of last year to continue. From a regional perspective, we expect gradual improvement in the U.S. economy to continue. Demand projections from the automotive and housing industries are positive. This provides a good platform for growth in our Performance Materials, Safety & Protection, Industrial Bioscience and Performance Chemicals segment. In Europe, our business has improved in each of the past two quarters. We expect sequential growth to continue as industrial production across Europe recovers from recession. In Central and Eastern Europe, our largest business is in Agriculture, where we see plenty of opportunity for continued growth in 2014. In addition, we expect our advanced materials businesses to benefit from the GDP growth that is projected in developing Europe. In China, we are assuming GDP growth will remain in the 7% to 8% range and anticipate continued improvement in key areas like photovoltaics and automotive. We are closely monitoring infrastructure investments as they have a positive implication for depots [ph] in our Electronics & Communications, Performance Chemicals and Safety & Protection businesses. From an industry perspective, we expect healthy fundamentals in the automotive industry as global car builds are projected to increase about 4%. We will continue to leverage our innovation centers to partner with OEMs and apply our world-class application development expertise to meet their challenges in performance, light-weighting and energy efficiency. In the global TiO2 market, we saw the industry stabilize in 2013 with stronger global demand driving lower inventory levels throughout the value chain. In 2014, we anticipate that industry fundamentals will continue to show improvement, but the timing and strength of recovery is evolving. In Agriculture, we expect another year of solid operating earnings growth against a backdrop of an Ag economy, which remains healthy, but where farmer income and commodity prices are transitioning off of their peak. Though growers remain somewhat uncertain about the total planted areas and which crop to plant, our attractive value proposition to maximize their profitability is clear. Our order book and seed and crop protection confirms that our customers continued to demand our newest high-performing innovative seed and crop protection technologies. Our strategies and priorities are clear. Goals are defined and in place and we are executing well. We remain focused on advancing our operational priorities: innovation, global reach and strong execution. Paired with disciplined capital allocations, these priorities will enable us to continue our track record of delivering increased value for our shareholders while achieving our long-term growth targets. Our businesses will leverage their scientific capability to increase return on research and development while expanding our pipeline. We continue to strengthen our market penetration into developing markets and increased collaboration with the region’s fast growing companies and will continue a relentless focus on cost and capital productivity across the company as we have successfully done over the past five years. In summary, we are looking forward to 2014 into advancing each of our strategic and operational priorities. These priorities form the backbone of our value creation strategy and chart the best pathway to building a higher growth, higher value DuPont Company for our shareholders. Carl back to you.
Carl Lukach: Okay thank you Ellen. Let’s open up the line now for your questions. John?
Operator: And our first question is from P.J. Juvekar from Citi.
P.J. Juvekar - Citi: Good question in Ag, Ag pricing was flat in 4Q but maybe there was some impact of the realty valuation. So can you talk about what kind of local seed pricing did you achieve in the safrinha season in Brazil and in North America.
Ellen Kullman: The planning has begun in Brazil. It's a dynamic situation. We find people that are still very interested in what the seed can do with them. I mean safrinha corn acres are going to be down but they are interested in the new technologies, the new hybrids. We continue to see good demand for our high performing products. North America pricing our corn prices are flat to up slightly and expect modest price increases are based on a lot of mix improvement there. So it's still, the order books is about expected it's still is a very dynamic situation but we see it one playing out strongly in terms of the newer products and what we can do then to impact their yield in 2014.
P.J. Juvekar - Citi: And my follow-up question is quickly the royalty payments to Monsanto that you will have in 2014 and ’15. Can you just walk us through how does that impact you or income statement and cash flow? Thank you.
Ellen Kullman: Well as you know royalty payments we record them as we sell units. So we have a small introductory launch in 2014, it's going to have a small impact. I think if I remember correctly it's going to be about 5% of our 2014 sales volume will be these products.
Operator: Our next question is from Jeff Zekauskas from JPMorgan.
Jeff Zekauskas – JPMorgan: I was wondering if Nick could clarify something on share repurchase. It looks like you’re going to buy back about I don’t know 32 million shares this year. How many shares are you going to issue? And when you did your 1.5% calculation I couldn’t tell what came from an average share count difference and what came from newly issued shares?
Nick Fanandakis: So your calculation is about right. I mean you have to look at the price when the shares are purchased but if you do it based on today’s pricing you would say somewhere around 30 million shares would be coming back and then you also have to consider the time element of when those are going to occur as to how much they are going to impact the diluted share count but specifically around how many are going to be reissued in the way of dilution. If you look historically somewhere in the range of 8 million to 12 million shares, new shares issued historically on a per year basis.
Jeff Zekauskas - JPMorgan: Okay great and for my follow-up you got a turnaround in your Orange, Texas cracker. I guess that begins in May. So I would imagine that that doesn’t affect your first quarter Performance Materials results. Is that correct? It would affect the second quarter Performance Materials results?
Ellen Kullman: Yeah it will affect the second and third quarter because of the lack of volume that will be coming out in the second. We think it will be over a little bit to the third as well.
Operator: Our next question is from Don Carson from Susquehanna Financial.
Don Carson - Susquehanna Financial: Yeah question on corporate cost, Nick you mentioned that you’ve pretty much offset the 200 million stranded cost associated with coatings. I’m wondering what’s the amount of stranded cost that you see with once you exit Performance Chemicals and is there a view to try and get ahead of that and maybe take more aggressive action on corporate infrastructure costs this year?
Nick Fanandakis: So when you look we have talked about this a little bit before, Don, when you look at the people that were involved in the coatings divestiture, a significant number are very labor-intensive, less folks in the P-Chem side, so less of the overhead impact that would be applicable than you saw in the coatings side. The number is about half of overhang in that one versus what was on the P-Chem side, but then when you talk about the other opportunities, maybe Ellen you want to.
Ellen Kullman: Yes. So as I take a look at it, although the people are left and that does have an impact. It is about 20% of our company from a revenue base. And so we are looking – we are taking the opportunity in 2014 to relook at our corporate core to relook at how we support the businesses from every function and how the businesses deploy regionally to understand is there a different opportunity for us to take some actions this year that would enable a more efficient, more effective structure going into the spin. So we are in the beginning of that process right now. We are benchmarking other companies looking deeply into our own how we structure that. And – I think that we will be talking about that more as the year goes on, because my goal would be to as we effect the spend to go into it with momentum in terms of the corporate core and not have that overhead be with us for the year as it has been in 2013.
Don Carson - Susquehanna Financial: And you have a preliminary target for what additional costs you might be able to take out beyond the stranded costs?
Ellen Kullman: No. We will share that with you when we get something that it can – it has some meaning behind it.
Operator: And our next question is from David Begleiter from Deutsche Bank.
David Begleiter - Deutsche Bank: Thank you. Ellen, just on TiO2, are you expecting some price increases in the back half of the year?
Ellen Kullman: Well, TiO2 is one of the hardest things to forget and as I call it the markets in the industry is evolving. We have seen it bottoming. We have seen volume progression as you have seen. I think it certainly depends on how strong the economy is and what kind of growth we see there next year. And I think it will play out much as the markets we see. We are saying first quarter earnings are going to be down and it’s just the math of where the volume and prices, but that for the full year, it’s going to be – our P-Chem segment is going to be up a little bit. So we do believe that the economy and what the markets are doing will predict exactly how that’s going to play out.
David Begleiter - Deutsche Bank: And just on safety, strong Q4 results Ellen, can you talk about the mix impact in Q4 and the potential for margins in 2014 given the improved mix and perhaps swung up Cooper River as well?
Ellen Kullman: Yes. So we delivered strong fourth quarter, obviously especially from operating earnings standpoint and that’s driven off of demand for Kevlar and Nomex and even the service businesses closing out some of their year-end projects and things like that. We saw the benefits from the restructuring and the productivity in that segment that we put in. And we have seen improved plant utilization at Cooper River and that’s really what’s driving the four consecutive quarters of operating margin improvement. In 2014, we expect mix to be a positive, so a slight margin improvement from that as we continue to drive in that business. We are making progress. I think we are getting the job done and will continue to improve throughout 2014.
Nick Fanandakis: And then let me just add in the progress we are talking about is not only from the utilization, but also from the productivity and the restructuring work this was done in realizing that value.
Operator: And our next question is from Robert Koort from Goldman Sachs.
Robert Koort - Goldman Sachs: Thank you. Good morning. I have a question on TiO2 as intrigued by your comments that there has been improvement in Europe and China, but it would seem that maybe the end markets have been stronger in the U.S. So is there something peculiar about why you haven’t seen better trends in the North American markets?
Ellen Kullman: Yes, I think that North American season we are just heading into now. So I think – and North America because of construction didn’t have as big an impact as we saw with the variability in China and with Europe being on it back. I mean, we saw growth in all regions. It was just notable in Europe and China.
Robert Koort - Goldman Sachs: And on your lines turnaround, are you going to be able to add any incremental capacity to that low cost unit?
Ellen Kullman: I would love to but I don’t think so we need to get this done so we can continue to operate it at the very high utilizations that we operate that unit.
Operator: Our next question is from John Roberts from UBS.
John Roberts – UBS: Would you expect the Ag business to return to a loss in the next quarter or are those distribution changes in the U.S. and Latin America continuing so that you might see the same kind of affect at the end of this year.
Ellen Kullman: You’re asking the same question I was asking the team. I think what we see is with the progression of the crop protection products specifically insecticide, Rynaxypyr, which has a huge impact in the fourth quarter in Latin America. We see with localizing our production capability in Latin America and the seed business has enabled us to shorten those supply lines and people want their hybrids and their current [ph] sizes and things like that. So we think that it will be positive in the fourth quarter going forward. So we will see I mean a lot of it depends on how the seeds in Latin America plays out and the safrinha corn shipments those investments have enabled us to basically deliver on that in the fourth quarter.
John Roberts – UBS: Is it too early to talk about emerging market industrial trends, stock market is obviously very concerned about that but you’re little bit further up in the supply chain in many of your businesses that maybe you’re just not seeing anything yet?
Ellen Kullman: I mean we read the papers too so we’re looking at that very, very strongly. We had a good 2013 in emerging markets. I mean if you look at it in total volumes were up 10% and sales were up six and that’s based on TiO2 pricing and the metals passed through with a negative last year. But we finished the year strong in the fourth quarter with volumes up 11 and that was largely driven by China with photovoltaic and they were catching up for the year and that’s not lost on it. They had a weak first half of ’13 but photovoltaic was catching up TiO2 volumes through there. So we watch it very, very carefully because every quarter seems to be a new quarter in the emerging market and you got to be very agile and be able to move very quickly depending on the trends. So we are cautiously I think optimistically I mean two [ph] stronger world but we it's going to be sequentially continue to improve.
Operator: Next question is from John McNulty from Credit Suisse.
Unidentified Analyst: This is (indiscernible) filling in for John. So you saw some pretty good volume growth in electronics and communications but pricing seems to be getting weaker. What are you seeing in the PV markets and any idea what the inflection point is for pricing and electronics?
Ellen Kullman: Pricing in electronics is surely silver [ph]. So if you think about the change in silver price over the last year it's been negative on a 10% - 12% and that will continue in the first quarter. So the pricing of our materials at silver is [ph] is very much of a function of the efficiency that it enabled in the solar modules and alike and we’re getting really good response off of our new Solamet paste business and the Tedlar Films because of their longevity and their ability to create long warranties on these units. So the year-over-year kind of pricing is a function of silver and we’re making impacts based on the functionality of the materials themselves and that’s enabling share gains for us in that marketplace.
Unidentified Analyst: Good and as a follow-up I think you had guided to about $300 million of pretax cost savings in 2013. So first were you able to achieve that and any kind of guidance for 2014 or how should we think about that for 2014?
Nick Fanandakis: We had strong performance on our productivity targets. We were able to as I mentioned in the call we were able to get rid of all of the deeply (indiscernible) overhang that is gone and we’re able to meet all of our other targets around fixed cost productivity. As far as next year goes, we are going to continue to drive productivity within the company. We will have some additional gain from the restructuring effort that occurred in ‘12 about another $150 million. And we are looking at above another $300 million of other productivity gains. So if you look towards ‘14 it’s probably going to be around that $400 million to $450 million range.
Unidentified Analyst: Great, thank you.
Operator: Our next question is from Kevin McCarthy from Bank of America.
Kevin McCarthy - Bank of America: Yes, good morning. Your pension deficit narrowed about twice as much as expected. It sounds like that was mostly capital markets related, but my question is what implications if any does that have on capitalization of Performance Chemicals as you spin it off in terms of debt load or allocation of the pension?
Nick Fanandakis: Yes. So let’s talk just a little bit about what happened on the pension liability first, Kevin. So when you look at it driven by really three things, about half of the reduction in the liability came from the discount rate changing. And if you look at the global discount rates, they improved by about 69 basis points, so 69 basis points had little over $2.5 billion of impact on the liability. The other two components were the return on the assets, where we are much better than anticipated in the original estimates, almost double and the changes in the OPEB planned adjustments, those two together come for the other half or roughly above $5 billion of liability reduction. Now, how does this impact the P-Chem piece? I have talked about this before these are decisions that we are going to be making as we move forward with the separation. But when you look at the decision around what goes to P-Chem in the way of potential pension liability or debt, it’s really either/or, so you can choose to put no pension and owe it up on more debt or you can choose to put pension in debt or it’s a balance. And so those decisions will be made further out in the process, but this really won’t have an impact on that as we move forward.
Kevin McCarthy - Bank of America: This is a follow-up if I may, I think last month Nick when you unveiled your macro outlook for 2014 you had the dollar strengthening about 2%, is that still the case today you or have you made any adjustments there given the volatility that we are seeing?
Nick Fanandakis: Yes, it’s going to be slightly up in 2014 the dollar strengthening is going to be slightly up. So we will have some additional headwinds in ‘14.
Operator: Our next question is from Frank Mitch from Wells Fargo.
Frank Mitch - Wells Fargo: Good morning and thanks for taking my question. A question on use of cash obviously you unveiled this the new share buyback program today and you indicated that you got $1.7 billion of debt maturing here in the first half I was wondering if you are going to pay that off or refi that? And then what is this – what’s the current M&A market like out there and what are the possibilities that we could see Du Pont be active in doing something from a corporate perspective?
Nick Fanandakis: Great. Frank, so you are right about the $1.7 billion of debt and that’s just going to pay that off, we are not going to refi that. So we will use the cash we have on hand to do that as well as the 2 billion share repurchase. So – and as far as the M&A market, we continue to look – Ellen maybe you want a few thoughts.
Ellen Kullman: Yes. No, I mean, we have been – we continue to look and see that there is opportunities smaller in nature more specific to geographies like Pannar or technology and we continue to pursue them. As you know, I have a pretty high bar in terms of what’s required for us to affect that. And we continue to work in those markets. So we calculated that this buyback still has that opportunity for us to do some bolt-ons and some things like that, but we thought it was important given the big change from the pension and OPEB standpoint that we would be clear about how we are going to utilize our cash.
Frank Mitch - Wells Fargo: That’s very helpful. Sorry, that you are going to pay down that loan, Nick, because I was actually going offer you a teaser rate and a toaster if we got part of that business. Lastly, on the spin-off of Performance Chemicals what is your current thoughts on timing and does a possibility exist that there might be a sale involved of part or all of that asset?
Ellen Kullman: Yeah so the timing is still as we discussed second quarter of ’15. We’re working on the carve outs. We have named the leaders as you’ve seen. We continue that planning process, that’s five quarters from now and so we will see what happens transpires between now and then but we have a good economic model of what this spin will bring and I think we’re driving down that path.
Operator: Our next question is from Laurence Alexander from Jefferies.
Laurence Alexander - Jefferies: Two quick ones, first on the Electronics & Communication segment considering the strength of the year-over-year performance expected in Q1. How are you expecting the cadence in the balance of the year and are there any headwinds that are becoming more severe over the course of the year and then on the Nutrition business can you give a quick survey of regional trends? Thank you.
Ellen Kullman: Yes so electronics is always one that it's hard to predict. We have given you the input for the first quarter. For the whole year we are expecting the growth in installations on PV to be about the same as it has been about 15 and so we expect that to continue. We saw a lot of our volume this year in the second half of the year. So the first part of ’14 looks like it's starting strong. We will see where that goes; we’re taking that for a whole year. We’re in good shape for moderate earnings growth even with the change and the silver pricing year-over-year. So that’s one that we watch very carefully because there is a lot of noise out there relative to where it's trade issues or things like that but I will tell with the efficiencies and where the pricing is on the modules today it really is driving as option rate that should be able to accomplish the growth this year.
Nick Fanandakis: And with the moderate earnings growth, because what Ellen said on the metals piece top-line is going to be online slightly up but without the metals piece it would be more in the modest range.
Ellen Kullman: Yeah for Nutrition in the regions still there is no sting [ph] about, we’re seeing broadly demand across all regions. Real interest in some products like probiotics and the differentiated in food ingredients and we’re seeing it in Latin America we’re seeing it in Asia, North America, Europe and so we’re making great progress in that business and we spent the time over the last two years really building out the capability for that business in the emerging markets and we’re seeing the results of that. So we’re very pleased with the progress we’re making.
Operator: Our next question is from Duffy Fischer from Barclays Capital. Please go ahead.
Duffy Fischer - Barclays Capital: Just want to go back to the seed pull forward real quick. I mean just quick calculation, to me that seems like it's over a 1.5 million bags of seed that got pull forward. One is that roughly which I would put say 10% of your seed sales in the America. Is that about the right sizing of it and then what’s the split between Latin America and North America?
Ellen Kullman: I think the numbers you’re quoting are high from my standpoint. I think its 60:40 really, 60% Latin America, about 40% is U.S.
Duffy Fischer - Barclays Capital: Okay and then just one last one quick on the lead paint litigation in California that you guys got extricated from. Is that still your responsibility or is that the responsibility of your paint business that you spun off Axalta?
Ellen Kullman: DuPont was the person that was named in the suit and nobody was responsible for it because we got excluded.
Duffy Fischer - Barclays Capital: But you’re still handling the legal side of it so you’re still defending yourself, that didn’t get passed on to Axalta I guess is the way.
Ellen Kullman: No that litigation was a DuPont litigation historically.
Operator: Our next question is from Mike Ritzenthaler from Piper Jaffray.
Mike Ritzenthaler - Piper Jaffray: Within Ag I’m wondering if there are any updated thoughts around the acreage estimates for latest seed products with the earlier seed delivery for corn you know looking at 10 million acres of AQUAmax and 2/3rds from AcreMax and then with more favorable soybean economics whether the soya supply chain is geared for more substantial growth in the 1/3rd that Paul was talking about 3 or 4 months ago.
Ellen Kullman: I think on AQUAmax last year we did just over 7 million acres this year is going to be over 10. So I think we performed well. We are happy with what we saw out of that performance in ‘13. And I think that’s going to continue to make progress. We see the new varieties, the new hybrids really continuing to penetrate as people understand what the value of that truly is. So we are making good progress there. And the order book is showing that as it confirms the grower demand for our newest technologies. And I think another fruit point there is the cash payments from North America season are up slightly and so they are I think that’s the positive as well.
Mike Ritzenthaler - Piper Jaffray: Sure. And then real briefly on TiO2 feedstock pricing, I don’t know if there was any part of your prepared comments that talked about your outlook for feedstock supply and demand, not necessarily TiO2 itself, but just on the feedstock side?
Ellen Kullman: Yes, I guess Nick?
Nick Fanandakis: Yes. So when you look at market costs for ore they are down from the peak. It all depends on the contractual arrangements you have. So our ore costs maybe up slightly, but even with that ore costs being up slightly we are still very advantaged versus the market environment.
Carl Lukach: Okay, John that concludes the time that we have for the call today. I want to thank everyone for joining us today. The IR team is available and happy to take any follow-on questions that you have. Thank you all very much for joining us today.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference. Thank you for participating. You may all disconnect.